Operator: Greetings and welcome to Gannett Fourth Quarter Earnings Conference Call. [Operator Instructions]. I would now like to turn the call over to your host Trisha Gosser, Investor Relations.  Please go ahead. Hello, Ms. Gosser, your line is unmuted, can you hear us? Hello,  Ms. Gosser, can you hear us?
Mike Reed: Hamed, this is Mike. Can you hear me?
Operator: Yes, I can hear Ms. Gosser -- I don't hear Ms. Gosser.
Mike Reed: I'll take it from here. Are we open?
Operator: Yes, we are, thank you.
Mike Reed: Thank you. So good morning, everyone. Thanks for joining our call this morning. Let me start off by apologizing for some technical difficulties we had with the arranger here of the call. We've been ready to go for 10 minutes. So apologies for that. I'll read Trisha's part here and then really get to mine, but we have to do the preamble so I will do that first. So again, good morning, and apologies for the technical difficulties. Thanks for joining our call today to discuss Gannett's Fourth Quarter 2021 results. Presenting on the call today will be myself and our Chief Financial Officer, Doug Horne. During this call, we'll discuss Gannett's financial results for the quarter. And if you navigate to the Gannett website you will find that we have posted an earnings supplement in addition to our earlier press release this morning and the supplement has good information in it. We will be referencing it today on the call and it provides you with additional detail on the quarter's performance and some expectations we have for '22 in the years ahead. Before we begin, please let me remind you that this call is being recorded. In addition, certain statements, including those with respect to future results and events and are based on current expectations. These statements involve risks and uncertainties that may cause actual results and events to differ materially from those discussed today. We encourage you to read the cautionary statement regarding forward-looking statements in the earnings supplement as well as the risk factors described in Gannett's filings made with the SEC. Except as required by law, we undertake no obligation to publicly update or correct any of the forward-looking statements made during this call. In addition, we will be discussing some non-GAAP financial information during the call today, including same-store revenues, free cash flow, adjusted EBITDA and adjusted net income attributable to Gannett. You can find reconciliations of our non-GAAP measures to the most comparable U.S. GAAP measure in our earnings supplement, again posted on the website. Lastly, I'd like to remind you that nothing on this call constitutes an offer to sell or solicitation of an offer to purchase any interest in Gannett. The webcast and audio cast are copyrighted material of Gannett and may not be duplicated, reproduced or rebroadcasted without our prior written consent. So with that out of the way, let me jump into the meat of the call. So again, thanks, everybody, for joining this morning. 2021 was a year of important progress for Gannett. We believe we have the right strategy in place and have executed well against that strategy throughout 2021. We achieved some very key milestones in the year. For example, we surpassed $1 billion in total annual digital revenue. We saw 49% growth year-over-year in digital-only subscriber volumes. We also surpassed $100 million in annual digital-only subscription revenue. And we grew our digital marketing services platform business over 10% on a same-store basis in 2021, and that business is nearing in now on $450 million of total annual revenue. Further, during the year we repaid over $235 million of debt and optimized our capital structure through 2 rounds of refinancing efforts and we punctuated that in early 2022 with an amendment to our credit agreement and a $100 million share repurchase authorization program that we put in place. With the refinancings we accomplished in 2021, we have lowered our cost of capital to approximately 5.8%. Further and importantly, we have now fixed the interest rate on 2/3 of our debt, important in this rising interest rate environment we're heading into. We executed very well in 2021 against our strategic pillars. At this time last year, we laid out those 5 operating strategic pillars for you all. And we have a first page in the supplement Page 4, where we lay out now the next phase of that transformation journey, what we accomplished, what's ahead for the next 2 years and what's ahead for the next 3 to 5 years. We ended 2021 with over 1,633,000 digital-only subscribers. And as I mentioned, we saw 49% growth year-over-year. We also saw 49% growth in the fourth quarter. Our digital marketing solutions segment had record EBITDA margins in 2021 and record core platform revenue in the year. Gannett ended 2021 with over 1/3 of total revenue coming from digital revenue streams, exceeding $1 billion in total revenue. And we saw 11.3% year-over-year on a same-store basis growth in our digital revenue category. We have great momentum there heading into 2022. In 2021, adjusted EBITDA was $434 million. It grew about $20 million or just about 5% year-over-year. And this EBITDA number does reflect investments in our current business consistent with our operating pillars geared towards reaching our inflection point for consistent long-term top line growth. Investments are going to be discussed quite a bit today, but the big areas were content, data, product and marketing. We have been relentlessly narrowing our focus on our top priorities, our 5 strategic pillars as well as reducing leverage. During the year, we repaid over $235 million of debt, bringing the total debt pay down since our acquisition of Gannett just over 2 years ago, total debt payment is over $400 million now. And we've lowered our cost of debt since that initial acquisition by over 500 basis points. The 2 refinancing efforts that I mentioned in 2021 significantly reduced interest expense and has helped to drive improved free cash flow with growth of over 300% in 2021 as compared to 2020. Importantly, we expect to continue to see a cash flow benefit associated with this reduced cost of debt over the years to come. We believe the years of the most significant cash burdens, including cash interest, cash pension cost, cash restructuring and integration payments as well as interest expense are behind us. And as such, we expect free cash flow to continue to materially increase going forward. In fact, we have guided this morning that we expect free cash flow to nearly double in 2022 and to grow at a 40% CAGR between now and 2025. So very significant free cash flow growth ahead. In 2021, we delivered against our strategic pillars within the year, but more importantly set the foundation for future sustainable revenue and cash flow growth. Before we talk specifically about our operating pillars, I want to spend a few minutes reviewing some other key items for 2021. Over the past year, we completed over 100 real estate dispositions for just over $100 million of purchase price, and the proceeds were used for debt repayment. We also sold 70 very small nonstrategic properties across our newspaper portfolio. Properties that either were not profitable or didn't fit at all within our long-term digital subscription and DMS strategy. These sales, while not impactful to our overall profit or cash position, allowed us to exit markets with a low total digital addressable market and with an overdependence on print. The sales also allow us to free up internal resources to focus on the properties with greater long-term opportunity in both our digital-only subscription business and our digital marketing solutions business. Late in 2021, we also shuttered a number of nonpaid advertising-supported products across the portfolio. And while these moves lower the top line revenue performance slightly primarily in print advertising, it allows us to optimize our portfolio for long-term growth moving toward a portfolio of products and markets that are in line with our long-term digital subscription and digital marketing service growth strategies. Further, shuttering these properties lowers our dependencies on print advertising revenue. In the first quarter of 2022, we also announced that our Board of Directors authorized a share repurchase program for the repurchase of up to $100 million of the company's common stock. At the same time, we announced an amendment to our existing 5-year senior secured credit agreement providing for an incremental $50 million of principal and expanding the definition of permitted restricted payments in the agreement to include up to $50 million of stock repurchased before December 31, 2022. In other words, we have lined up all of our credit agreements to allow us to execute on $100 million of share repurchase. While debt repayment remains one of our top priorities, having the stock repurchase plan in place is an important tool that allows us to have maximum flexibility with regard to capital allocation and that presents us with the best opportunity to maximize returns for our shareholders. Now turning to our strategic pillars. One of our top priorities is and has been accelerating digital subscription growth. In the fourth quarter, paid digital-only subscribers, as I mentioned, grew 49% over the prior year. We ended the year with 1,633,000 digital-only subscribers. Our subscription products added 535,000 new net digital subscribers for full year 2021, and that compares to 244,000 net new subscribers in full year 2020. So we more than doubled the growth in '21 over 2020 in terms of net subscribers. One item of note, I mentioned the 70 small market properties we disposed of while each was very small individually, in the aggregate, we removed about 27,000 paid digital subscribers from our total subscriber accounts. The disposals are 100% the right strategic move but I mentioned because had we not done those, we would have ended the year with 1,660,000 paid digital subscribers and our goal previously stated was 1,650,000 paid subscribers. So we actually did overachieve our goal. However, the right thing to do was dispose of these markets. Digital-only circulation revenue, subscription revenue surpassed $100 million in 2021 and grew at a rate of 33.5% year-over-year. And while we are pleased with the financial results, we continue to see tremendous potential. In the fourth quarter, our digital properties across the U.S. and the U.K. averaged 183 million unique visitors per month. We believe our current digital offerings have a significant addressable market for us to continue to attack, and we are making further investments in our infrastructure to accelerate our penetration of this sizable market and also to further expand the audiences that come to see us. Investments in this area include content, content creation, product enhancement, product improvements and importantly data collection and analysis. Data is the most significant driver for us for growth with regard to our content strategy, our product enhancements and our marketing strategies. Turning to our second strategic pillar, which concentrates on accelerating growth in our digital marketing solutions business. Our digital marketing solutions business as a reminder sits on our local IQ platform. So we really refer to it as our local IQ DMS business. We grew core client count in that business by over 14% in the fourth quarter and we grew our ARPU 5.5% year-over-year in the fourth quarter, and our DMS business posted its third consecutive quarter of double-digit EBITDA margins. Our core platform business ended 2021 with a little over $440 million in annual recurring revenue. It's important to note that the annual recurring revenue and what that has done is positioned the core platform to grow by 5% year-over-year into 2022 just based on the run rate basis alone. So no new customers and growth reflected in that number, just a pure 5% growth that comes off the platform today. But our investment in sales and support operations, our increased investment in marketing to support our inside sales channel and ongoing product enhancement in the freemium and buy online channels, we expect to drive top line growth in the double digits again in 2022, just as we did in 2021. Please recall that also in the third quarter of 2021, we announced an expansion of our go-to-market strategy with the creation of the freemium and buy online models. In the fourth quarter, we launched the third and fourth phases of this platform development and expansion, enabling several customer-facing enhancements to the grading tools, allowing registered users to receive a free assessment of their current marketing presence and to create a local IQ account. These enhancements give more specific recommendations and lead to further engagement with paid local IQ product suite, which we believe will turn them into long-term local IQ customers. We believe that ongoing investment in product, marketing and sales channel expansion are critical to sustaining the double-digit growth in our core platform. We have grown the DMS business in our core client count from over 15,000 today and we expect to have a more meaningful percentage of the millions of small and medium-sized businesses in the U.S. in the future. All of the product enhancements we're doing are positioning us to greatly expand our opportunity to penetrate the SMB space in the U.S. So we have a great platform today with just over 15,000 customers on it. We expect core growth off of that but our product opportunities and our marketing opportunities really give us a much bigger addressable market to go after here. Our third strategic pillar is optimizing our traditional print business across subscription and advertising. As noted earlier, we have put an increased focus on improving the performance of our print products while also working to reduce our overall exposure to the print category. This optimization allows us to improve profitability and also to allocate our content resources to premium news, sports, events and other information our subscribers value the most. In early 2022, Gannett also announced a transition to a fully electronic Saturday offering, which will take effect in the majority of our markets late in the first quarter of 2022. This commitment to our digital future was paired with the rollout of a universal e-edition giving our home delivery subscribers access to e-editions from over 200 publications across the network, including USA TODAY, with features such as audio capabilities, archive access and add free access to our USA TODAY crossword puzzle. We believe this move not only benefits our current subscribers and meets them on the platforms they are shifting to but has the opportunity to expand our audience for advertisers through the scaled e-editions. We also plan to introduce different print delivery models in select markets to stimulate further learning and insights as we address the rapidly evolving digital landscape and to provide our current subscribers with the best experience. Our fourth pillar is prioritizing investments in our growth businesses. Our Events business, branded USA TODAY Network Ventures remained challenged in the fourth quarter due to the ongoing impacts of the COVID-19 pandemic and the variants that emerged such as Delta and Omicron. It limited our ability to host in-person endurance events and local shows. So we had to pivot to virtual like we have done for most of the last 2 years. An example of that is in the fourth quarter, we shifted the American Influencer Awards, hosted by Andy Cohen to a virtual event. Despite a greater reliance on virtual events than anticipated in the fourth quarter, our venture's revenue grew 7% year-over-year and we realized significant engagement with consumers, hosting 4.3 million consumers in the quarter through 91 virtual and in-person events during the quarter. Included in that event count of 91 were 32 races, including in-person marathons, the Hot Chocolate Run Series and the Justice League Run Series. Encouragingly, we are starting to see some success as we start to return to live events. For example, the Hot Chocolate Chicago, 15K and 5K held in Q4 2021 was the third largest foot race in the country in 2021. And in the first quarter of 2022, we held the NFL Alumni Legends party hosted by Super Bowl Champion, Rob Gronkowski in Los Angeles to kick off the big game weekend. Our Ventures Group will continue to leverage major sporting events with legends branded experience to further our brand and introduce our brand to a much broader audience. Our fifth and final strategic pillar is building on an inclusive and diverse culture. In Q1 2021, we published our first installment of an annual report focused on our inclusion, diversity and equity efforts and we outlined Gannett's inclusion goals that reach into 2025 as well as the steps we are taking to achieve our goals. We will be publishing an updated report shortly, sharing our progress in 2021 against these stated goals. And we were pleased to share last month that Gannett again earned a top score in Human Rights Campaign Foundation's 2022 Corporate Equality Index. It is a great honor to receive this recognition for the fifth consecutive year. Inclusion, diversity and equity are core foundational pillars at Gannett, and this achievement recognizes our strong commitment to advancing an inclusive culture through our policies and importantly, through our actions. While solid progress was made against each of our operating pillars throughout 2021 the fourth quarter was more challenging than we anticipated. Same-store revenue declined 4.3% year-over-year in the fourth quarter, with softness in print advertising, combined with ongoing challenges in our events business really tied to the variants the COVID-19 variants. Encouragingly, we have seen improvement in same-store revenue trends in the first quarter of 2022 as we move away from the Omicron variant. And you'll see that expected improvement in trend noted in our first quarter guidance today as well as our 2022 guidance. We saw 49% growth year-over-year digital-only subscription volumes but finished just a hair short of our projections. However, as I noted had we not made the great strategic move to move away from those small market properties, we actually would have finished a hair over our projections. However, with 49% growth in this category in the fourth quarter and for the full year of 2021, we have tremendous momentum heading into 2022. We believe 2022 will be another very important year for Gannett in our progression to evolve the company. We see continued momentum build in '21 towards our strategic pillars carrying forward in 2022 across the board. Our company is evolving into a subscription-led digitally focused media and digital marketing solutions technology company with long-term sustainable growth. We plan to make strategic and intentional investments into our content, data, marketing and product organizations along with supporting growth in our digital marketing solutions business and USA TODAY Network Ventures Events businesses. We are committed to continuing to make investments that will result in the long-term vision we have articulated to you. We plan to offset these investments largely with savings tied to our legacy print operations and ongoing efficiencies we create in the back office and general administration areas. Resulting in expectations that our overall operating expenses will remain relatively flat in 2022 as compared to 2021. However, as noted previously we expect free cash flow to nearly double in 2022, inclusive of the operating investments we are making in the business. Our investments in data and content will directly support our digital-only subscription-led strategy. We are investing in the areas that we know our audience is passionate about and in the areas we know consumers will pay for. High converting topics such as personal finance, consumer protection, health and well-being, real estate, dining and local sports, just to name a few. Speaking of sports, we are also expanding our already significant sports portfolio with an increased focus on graphic storytelling, databases and engagement specialists as well as expanding our newsletter portfolio. Additionally, investment in data will allow us to seamlessly combine the analytics we have on content consumption directly with our marketing efforts, allowing us to have agile interactions with our users along their journey. Our investments in data will go hand-in-hand with our increased marketing efforts. In 2022, we expect to scale our content marketing efforts to build an emotional connection with our readers as we drive growth in our digital-only subscriber base. The intention there is really to engage our consumers to stay longer on our platform which then turns more of those consumers into paying customers. Our product team continues to be a cornerstone to support growth in our first 2 strategic pillars. Investments in our products are expected, among other things to support digital-only subscription enhancements, including personalization of our four subscriber content and new entrance overlays, which through initial tests in 2021 have created significant lift in subscriptions, 10% lift in our local properties and 25% lift at the USA TODAY. Our product team also continues to focus on the digital marketing solutions business expansion and with the ongoing build-out of our buy online and do-it-yourself platform as well as laying the foundation for a future SaaS platform. More to come on that later in 2022. Even considering these investments, we project another year, as mentioned of meaningful growth in free cash flow in 2022. With the refinancing efforts behind us, we anticipate cash interest will decline over 20% year-over-year and cash pension obligations and integration and restructuring costs are set to decline just shy of 50% year-over-year leading to nearly double in free cash flow in 2022. With the favorable results we have seen based on our operating strategy, combined with lower below EBITDA line costs just noted, we expect free cash flow will actually not only increase significantly in 2022, but importantly, grow at a 40% CAGR between now and 2025. So significant growth ahead, as I mentioned earlier. With regard to guidance, we are assuming no substantial pandemic-related business continuity issues in 2022 and have not factored in the impact of any further acquisitions or disposition within these ranges. This guidance is based on the assets we own today and the plan we have in place today. For the first quarter of 2022, we expect total revenues between $745 million and $755 million which reflects low single-digit declines on a same-store basis. We expect adjusted EBITDA in the range of $55 to $60 million and an overall small net operating loss reflecting in part approximately $45 million of depreciation and amortization expense and about $30 million in interest expense, combined with a smaller operating quarter from a seasonality perspective, which is normal. For the full year of 2022, we expect total revenues between $3.07 billion and $3.16 billion and those revenue ranges result in same-store revenue on the low end being a decline of 2% on the high end, actually seeing same-store revenue growth in 2022 of 1%. Net income attributable to Gannett in the range of $50 million to $70 million in 2022 and we expect free cash flow in the range of $160 million to $180 million. We also expect another $50 million in real estate sales on top of that. So we'll have substantial cash generation this year available to us for our capital allocation opportunities, which as discussed before, give us great flexibility now that we have the share repurchase plan in addition to our debt repayment opportunities. We're forecasting digital-only subscriber volumes of $2 million to $2.2 million at the end of 2022, and we expect adjusted EBITDA to be in the range of $380 million to $400 million and expenses included in adjusted EBITDA to remain relatively unchanged year-over-year in 2022 as compared to 2021. As I mentioned in my remarks today, this reflects $80 plus million of investment, offset by $80 plus million of cost removal from the print part of our business. We believe these investments, though are critical to achieving long-term sustainable top line growth for the company and we estimate we will reach the inflection point for sustainable growth in both revenue and EBITDA during 2024, although free cash flow will continue to grow throughout this period, as previously mentioned. Our current outlook has 6 million digital-only subscribers at the end of 2025. This is growth at a 40% CAGR from 2020. It's a target we have a clear line of sight based on our current portfolio of products. 10 million digital-only subscribers remains our long-term goal. Similar to other fast-growing digital businesses, we are following a journey of experimenting, ideating, optimizing, repositioning and over time improving to Flawless execution. We're prudently modeled a more moderate path in our financial projections. But with the sizable addressable market we have 183 million uniques in the fourth quarter of 2021 alone. And with the investments we are making across the organization, our team remains super focused on 10 million paid digital subscribers. Our quarterly earnings supplement posted to our website at investors.gannett.com reflects additional information regarding our forward-looking guidance and includes reconciliations of non-GAAP measures to the most comparable U.S. GAAP measures. And now what I'd like to do is turn it over to Doug to discuss our financial performance in the fourth quarter in 2021 in more detail. Doug?
Doug Horne: Thank you, Mike, and good morning everyone. For Q4 total operating revenues were $826.5 million a decrease of 5.6% as compared to the prior year quarter. On a same-store basis, operating revenues decreased 4.3% year-over-year. Total digital revenues were $272.6 million and represented 1/3 of our total revenues, increasing 5% on a same-store basis year-over-year. Adjusted EBITDA totaled $115.4 million in the quarter and that was down $33.4 million or 22.5% year-over-year. The adjusted EBITDA margin was 14%, and that was also down 300 points from the 17% recorded in the prior year quarter. Expenses included in adjusted EBITDA of $711.1 million declined 2.1% year-over-year and benefited from $1.3 million in PPP loans forgiveness in the quarter. The decline in adjusted EBITDA year-over-year represents the secular pressures of print revenue declines, coupled with the investment in our strategic pillars as well as ongoing inflationary pressures related to raw materials and labor. On the bottom line, we ended the fourth quarter with a net loss of $22.4 million and $42.8 million of adjusted net income attributable to Gannett. Our net loss of $22.4 million compares favorably to the prior year where we incurred a loss of $122.2 million. We benefited in part year-over-year as a result of 52% lower interest expense as well as lower debt-related expenses and losses related to the extinguishment of debt. Moving now to our segments. The Publishing segment revenue in the fourth quarter was $746.8 million, down 6% as compared to the prior year and down 4.7% on a same-store basis. Print advertising revenue decreased 10.1% compared to the prior year on a same-store basis, reflecting secular industry trends impacting all categories. Digital advertising and marketing services revenues decreased 0.4% on a same-store basis, mainly due to our digital media revenue which decreased 8.1% year-over-year on a same-store basis. National sales of Digital Media decreased 4% as compared to the prior year, but continued to be up 35.5% as compared with 2019 on a pro forma basis. We saw continued strength in our digital sports properties, but we are cycling results from the prior year that reflected pent-up national demand due to the pandemic. Digital classified revenues increased 6.6% on a same-store basis as we continue to drive solid performance in our employment obituaries and legal notice categories. Digital marketing services revenue in the publishing segment continued to demonstrate strong performance with 24.6% same-store year-over-year growth. For the third consecutive quarter, the publishing segment delivered quarterly record revenue with fourth quarter revenue of $36.1 million driven by operational productivity. Our digital solutions continue to resonate with our small and medium-sized business customers and our local sales force continued to improve its DMS productivity, resulting in client count growth of 4% over the previous quarter. Moving now to circulation. Circulation revenues decreased 8.8% compared with the prior year on a same-store basis, which compares favorably to the Q1 and Q2 same-store trends of down 12.9% and down 9.2%, respectively, but falling slightly as compared to Q3, which was down 8.2%. This change was in part a result of worsening single-copy sales in the fourth quarter. Single copy sales remain negatively impacted by the ongoing pressure of the pandemic as a result of lower business travel and overall lower demand. While print circulation declining at 11.2% year-over-year on a same-store basis remains under pressure from secular declines. Our digital-only circulation revenues grew 25.7% compared to the prior year on a same-store basis. Digital-only subscribers grew 49% year-over-year to approximately 1.63 million subscriptions. Digital-only ARPU experienced slight declines year-over-year as we continue to focus on growing the overall volume of our subscriber base. However, we expect that ARPU will stabilize and begin to increase again in 2022 as a higher volume of our digital-only subscribers will begin to roll off their introductory pricing plans. Adjusted EBITDA for the publishing segment totaled $116.6 million representing a margin of 15.6% in the fourth quarter. The publishing segment's Q4 margin continue to be somewhat negatively impacted by the resurgence of the COVID-19 pandemic and the impact that it had on both single copy distribution as well as our live events business. Also, we are experiencing increased costs in a number of key categories, including postage, contract labor as well as higher newsprint prices, which were up nearly 40% in the fourth quarter as compared with the prior year. For the digital marketing solutions segment, total revenue in the fourth quarter was $113.2 million an increase of 7.2% year-over-year on a same-store basis. As compared to Q3 of 2021, revenue declined slightly due to some inherent seasonality from the home services and education categories. Core clients, those that utilize our proprietary digital marketing services platform held steady at 15,200 clients in Q4. Comparing to the prior year quarter, the core business, which accounts for over 97% of the revenue in the digital marketing solutions segment increased 20% year-on-year. Average client count increased nearly 2,000 year-over-year, which represented a 14% increase. Also, ARPU grew 5.5% versus the prior year and reflects a more focused product portfolio which drives more effective results for clients as well as steady growth of our publishing sales channel. Adjusted EBITDA for the digital marketing solutions segment totaled $14.2 million, representing a strong margin of 12.6% in the fourth quarter and that's our third consecutive quarter of double-digit adjusted EBITDA margins. Our consolidated Q4 net loss attributable to Gannett was $22.4 million and includes $49.5 million of depreciation and amortization. The company's effective tax rate for the quarter was impacted primarily by limits on the deductibility of our interest expense. In Q4 interest expense was approximately $26.4 million, which is down 51.7% from the prior year. Let's now turn to the balance sheet. Our cash balance was $130.8 million at the end of Q4, resulting in net debt of approximately $1.24 billion. Capital expenditures totaled approximately $12.3 million during Q4, reflecting investments related to digital product development, technology and operating infrastructure. Free cash flow in the fourth quarter reflected the usage of $18.2 million, which reflects cash interest payments of approximately $24 million, $21 million in deferred FICO payments tied to the CARES Act as well as an increase in accounts receivable. We ended the quarter with approximately $1.37 billion of debt, and our first lien net leverage was 1.73x. During Q4, we repaid approximately $35.9 million in principle under our 5-year senior secured term loan and repurchased $11.8 million aggregate principal of the outstanding 2027 notes for $15.3 million in cash, including accrued interest. Prior to the refinancing of the new term loan the company also repaid $9.8 million under the previous 5-year senior secured term loan. For the fourth quarter, we generated $46 million in asset sales, which brought our 2021 total asset sales to $107 million. We expect to generate an additional $50 million of incremental asset sales by the end of 2022. We also expect to make a $31 million debt repayment in the first quarter of 2022 driven by the incremental cash of over the $100 million threshold at year-end. Finally, we are pleased to announce the remediation of our material weakness that previously related to certain internal controls in our revenue recognition processes. During 2021, we enacted various enhancements to the control environment to remediate the material weakness, including migrations to centralized effective IT systems as well as the implementation of compensating controls, including several group-wide monitoring controls. I'd like to thank the entire organization and specific to the finance and technology teams for their efforts in accomplishing this critical goal. We are very pleased to end the year having made significant progress towards our strategic pillars and to enter 2022 with a solid balance sheet with substantial progress on debt paydown to date, the flexibility of a stock repurchase program and improving free cash flows, we are excited about the opportunities to create meaningful value for both our shareholders and the communities we serve. With that, I will turn it back to the operator and give folks an opportunity for questions.
Operator: [Operator Instructions] The first question comes from the line of Greg Lewin with Lewin Capital Partners [ph].
Unidentified Analyst: Mike, 2 questions, please. The first question, in your 1 to 2-year strategic long-term investment category in the chart, you mentioned $80 plus million in annual investment anticipated this year. Do you have a perspective on what that number was in 2021?
Mike Reed : Yes, below $30 million.
Unidentified Analyst: Below $30 million, okay. So...
Mike Reed : Yes, really came in the second half of the year. So we're -- there's additional investments in '22, but some of it's run rate carrying into.
Unidentified Analyst: So when we think about free cash flow and the estimates that you've given, one of the things you've chosen to do that reduces your free cash flow from higher numbers was invest incrementally $50 million plus more in growth for your business.
Mike Reed : Right. Correct.
Unidentified Analyst: Okay. So that was your corporate decision. Second, I don't think -- when we first met and we were talking about DMS, and the statistics there remain exceedingly strong. The first thing that you when I asked about the gating factors, it was all about sales cycle because your ARPU is tremendous, your retention is tremendous. And I know the value that you offer your customers are absolutely essential for them to basically prosper in business in the current way currently business is structured. And you actually have a very interesting competitive advantage in this enormous market with your presence throughout the United States. Can you -- but the premium -- the freemium and buy online models are directly addressing the sales cycle issue and could have a very dramatic impact. Can you discuss those -- like where you are in that implementation? I think you mentioned something with -- we're doing Phase 3 or Phase 4 in the first quarter or the fourth quarter, I don't recall what you said. I don't know how many phases there are. Can you address when -- how these people migrate into what you now count as core customers as you now maybe are able to have a much faster growing customer base through these lower hurdle rate entries into your business. Could you kind of give more substance to that piece of the DMS story?
Mike Reed : Yes. So sure. First of all, there's about 30 million SMBs in the United States. About $29 million of those SMBs are very small businesses, 50 employees are less and have much lower overall digital marketing spend budgets, if any, and they don't have digital marketing departments. And so the DMS business that we have today really the addressable market is the $1 million bigger businesses. And so what we're really aiming to do with the freemium product is open up local IQ to the 29 million small businesses that may not have the budget to spend on the high premium offerings that Local IQ currently leads with the direct sales force itself. So this takes the sales channel out of the middle of a direct sales force that brings businesses to us or to a call center and allows them to experiment with low-hanging fruit local IQ products that we believe will eventually turn those businesses into paying customers on the local IQ platform. When they become paying customers on the local IQ platform, they will then become core customers and our customer count. So we will develop a freemium customer count, and then we'll continue to have a core customer account and the core customer account is where our primarily will be our paying customers, but we are engaged in building the top of the funnel for local IQ at a much more rapid pace than we've been able to do in the past. And we also want to open local IQ up to a much larger addressable market opportunity for the small business owner. That's where our plan is there.
Unidentified Analyst: Got it. And where are you in -- not the rollout, but in having the product where you want it to be, where you really think you're going to grab these smaller customers' attention?
Mike Reed : I think we worked on it pretty much throughout 2021. And so 2022 is the year where we really believe we will start to build a freemium client base. So 2022 is a year for us to see pretty good growth in that part of our business.
Unidentified Analyst: Okay. And conceptually --
Mike Reed : It's early stages, but we should take some other customers. We can go offline if you want to have a long narrative, but we should take some other questions, I think, Craig.
Unidentified Analyst: Go ahead.
Operator: Ladies and gentlemen, we have reached the end of question-and-answer session. And I would like to turn the call back to Mike Reed, CEO for closing remarks. Thank you.
Mike Reed : Okay. Thank you. I want to apologize again for technical difficulties. I got a word from our operator that those on the webcast there was some cut out towards the end of my remarks speaking about guidance. Please remember Page 10 and 11 of the supplement available on our website contains the specifics of that guidance. Please go to our website, visit the supplement and visit Pages 10 and 11. I also would encourage you to visit Page 4, which is the progression of our journey. And I'd like to close today by thanking the entire team at Gannett for consistent execution against our strategic plan and for making 2021 a transformational year for our company. There are 4 big takeaways from this morning's announcement that I'd like shareholders to take away. One, our strategy is working, and we have line of sight on our inflection point occurring during 2024. We also have line of sight on improving same-store revenue trends which you see in our 2022 guidance. Number two, we expect free cash flow to grow through 2025 at a 40% CAGR and we expect to have net leverage considerably below 1x next year. We expect to grow our digital subscriber base at a 40% CAGR through 2025. We have good liquidity and with the recently announced $100 million share repurchase program, we have all levers available to us from a capital allocation standpoint in order to drive maximum returns for our shareholders. Over this past year, we have substantially completed the efforts of integrating the old 2 legacy New Media and Gannett organizations. And we've completed our work around synergies overachieving the initial target of $270 million to $300 million. We also paid down over $235 million of debt in 2021 and have paid over $400 million of debt since we put these 2 companies together. As I mentioned, we've reduced our cost of debt by almost 50% since the acquisition. And we have meaningfully improved free cash flow as we go forward. Most importantly, we executed against our long-term strategy this year that we laid out at this exact time last year. Gannett grew digital-only subscribers nearly 50%, generating over $100 million in annual revenue in 2021. We launched a digital subscription model at USA TODAY, a property with significant growth potential with nearly 100 million unique visitors each month. The digital marketing solutions segment has recorded profitability while also achieving segment has record profitability while also achieving record core platform revenue in the year, ending the year with over 20% growth in core platform revenue. We stabilized print circulation trends in 2021 on a same-store basis as compared to 2020. And we've created solutions to meet our print subscribers and advertisers on the platforms and devices they're on the most. We signed a 5-year sports betting partnership with typical USA and have launched several content assets and brand initiatives to activate this exciting and growing partnership. And in 2021, we further committed to inclusion diversity and equity as our core value. We published our first inclusion report in 2021, publicly committing to our inclusion goals through 2025, along with publishing in-depth workplace diversity metrics. We deepened ID&E education and learning across our organization, expanded our employee resource groups and revamped our efforts around inclusion measurement, recruiting and reporting. While we continue to have work to do in each of these areas, our mission is unwavering to empower communities to thrive by delivering impactful trusted content and best-in-class marketing solutions for our customers. We believe investing in and executing against our strategy over the next several years, creates the path for sustainable, growing revenue, profit and free cash flow and a sustainable path for our commitment to the unbiased, trusted journalism our local and national communities need to thrive. Thank you all for joining us today. And again, one last time, apologies for the technical difficulties with the webcast this morning. Thank you. We look forward to updating you again on our progress in Q1 in about 6 weeks. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.